Operator: Hello, everyone, and a warm welcome to the First Quarter 2022 ACCO Brands Earnings Call. My name is Bethany, and I will be your operator today [Operator Instructions]. I will now hand the call over to Christine Hanneman to begin. Christine, over to you.
Christine Hanneman: Good morning. This is Christine Hanneman, Senior Director of Investor Relations. Welcome to ACCO Brands First Quarter 2022 Conference Call. Speaking on the call today are Boris Elisman, Chairman and Chief Executive Officer of ACCO Brands; and Deb O'Connor, Executive Vice President and Chief Financial Officer.  Slides that accompany this call have been posted to the Investor Relations section of accobrands.com. When speaking about our results, we may refer to adjusted results. Adjusted results exclude transaction, integration, amortization and restructuring costs and other nonrecurring items, including the change in fair value of the contingent consideration related to the PowerA earn-out and reflect an adjusted tax rate. Schedules of adjusted results and other non-GAAP financial measures and a reconciliation of these measures to the most directly comparable GAAP measures are in the earnings release and slides that accompany this call. Due to the inherent difficulty in forecasting and quantifying certain amounts, we do not reconcile our forward-looking non-GAAP measures. Forward-looking statements made during the call, including statements concerning the impacts of the COVID-19 pandemic on the company, are based on the beliefs and assumptions of management based on information available to us at the time the statements are made. Our forward-looking statements are subject to risks and uncertainties and our actual results could differ materially. Please refer to our earnings release and SEC filings for an explanation of certain of these risk factors and assumptions. Our forward-looking statements are made as of today and we assume no obligation to update them going forward. Following our prepared remarks, we will hold a Q&A session. Now I will turn the call over to Boris Elisman.
Boris Elisman: Good morning, everyone. Thank you for joining us. Before I begin my comments for the quarter, I would like to formally welcome Deb O'Connor, our new CFO. Deb joined ACCO Brands on April 4th, and we're very pleased to have her on board. Deb will follow me with a financial review of the quarter, and then we will both take your questions. Moving now to our first quarter. Following a record sales year in 2021, we have started 2022 with an excellent first quarter, posting strong sales and higher EPS. This performance is a result of the strategic transformation of our company towards sustainable comparable sales growth. I am particularly pleased with this quarter's performance as we continue to execute well in an environment of high inflation and supply chain constraints. The 11% comparable sales growth for our total business was higher than our expectations and included both price and volume growth. All segments posted meaningful comparable sales increases led by our International segment. Earnings per share were $0.11, which was also above our expectations. Our International segment posted 23% comparable sales growth. The growth was driven by Brazil and Mexico as schools have now reopened after being mostly closed for the past two years. Our back-to-school sales have shown recovery in Brazil, particularly for our Tilibra branded notebooks and in Mexico, but do not yet reflect a pre-COVID level of demand. We anticipate seeing even stronger levels of back-to-school demand during the upcoming season in those markets. The International segment doubled its adjusted operating income due to strong sales in the release of prior year reserves. Overall, this segment had an excellent quarter. Moving to North America. This segment had a 10% increase in comparable sales. We saw strong increases in most product categories, in particular for student note taking, driven by our leading brand, Five Star, as well as Kensington computer accessories and most business products. We had some back-to-school sales pull forward into the first quarter as our customers are seeking surety of having inventory on hand for this important season. Overall, we expect a strong back-to-school season in North America as more children are attending schools in person, the channel inventory overhang is gone. We expect to see continued good growth in Five Star school products and we are well positioned to manage supply chain to serve our customers. We have domestic production of key back-to-school products, which is a clear advantage for replenishment given the supply chain issues related to products imported from Asia. In addition, in the US and Canada, we're seeing the benefit of price increases we have taken over the past year to help offset the inflationary cost increases that continue. However, we have not yet recovered the cumulative impact of all the cost increases and we will raise prices as needed throughout 2022 to protect our margins. Our EMEA business, which has been growing strongly for several quarters posted a 7% increase in comparable sales. I am very pleased with growth in EMEA, especially since some countries had business lockdowns for much of the first quarter due to a spike in COVID. EMEA operating margin declined as our pricing has not yet caught up with inflationary cost increases. We took a sizable price increase on April 1st and have announced another increase that will be effective on July 1st, so we expect to see a recovery in margins as the year progresses. Creating innovative new products that address unmet consumer needs is one of our key pillars in achieving comparable sales growth goals. In the first quarter, we won two German design awards for our Leitz Cosy range of storage and organizational products and for our Leitz precision paper trimmers and cutters. We also won the prestigious Red Dot Award for our Leitz Cosy, our Leitz IQ Autofeed range, and three of our Kensington computer accessory products. And PowerA received 10 Mark on Platinum and Gold awards for the Fusion Pro 2 wire controller and the Spectra Infinity enhanced wire controller for Xbox Series X and S. 11% total company comparable sales growth is especially impressive as we delivered it despite a decline in PowerA sales. PowerA is positioned for long term growth, even in the face of a very difficult first quarter comparison because of posting over 100% sales growth last year. While PowerA's first quarter sales didn't match last year, the business continued to perform well and showed over 60% growth versus the first quarter of 2020 despite ongoing girth of gaming consoles in the market. The chip shortage continues to impact the availability of gaming consoles, which is hurting overall industry sales. We're hopeful that the shortages will begin to ease in the second half, but they are likely to still impact gaming console and accessories availability. As a result, we expect PowerA to track towards 5% to 10% sales growth this year with a softer first half and a stronger second half. In summary, we have started the year with good momentum. We're executing very well as we manage the ongoing supply chain issues and inflation. We expect to have strong back-to-school season in North America and Latin America and expect to post another year of record sales strong profit and free cash flow growth. I will now hand it over to Deb, and will come back to answer your questions. Deb?
Deb O'Connor: Thank you, Boris, and good morning, everyone. Our first quarter 2022 reported net sales increased 8% to $442 million, largely due to the return to in-person education in Latin America and strength in North America. We saw broad based growth as most of our product lines posted increases, led by note taking products, computer accessories and business products. Our comparable sales rose 11% as we benefited from 6% higher pricing and improved volume of 5%. Adverse foreign exchange of almost 4% was a worse headwind than we had expected. Adjusted operating income was $23 million compared with $25 million last year. Adjusted net income was $10 million and adjusted EPS was $0.11 versus $0.10 in 2021. The benefit of our sales price increases has not fully offset inflation because we are chasing continually rising costs. This was particularly true in EMEA. We have taken price increases in all of our markets and will continue to react to the marketplace with necessary adjustments throughout the year. First quarter adjusted SG&A expenses were $97 million compared with $93 million in 2021, primarily as a result of increased marketing expenses to support growth and from inflation. SG&A expense as a percent of sales was 22% below last year's 23% due to higher sales. This quarter, we booked $3 million expense for the PowerA earnout. We also booked $2 million charge to operating expenses related to our Russian business. We stopped shipping to Russia in late February and expect our $6 million in annual sales there to decline significantly. Now let's turn to some details of our segment results for the year. Comparable net sales in North America increased 10% to $209 million. The increase was due to higher pricing and higher volume as increases in business and school products as well as computer accessories more than offset the decline in gaming accessories that Boris mentioned. Our sales reflect increased demand even with higher pricing and we are seeing share growth in several of our brands. Gross margin in North America increased as a result of improved sales prices and volume. In addition, North America also benefited from lower logistics costs compared with especially high cost last year. North America adjusted operating income and adjusted operating margin increased because of higher sales and gross margin. Now let's turn to EMEA. Net sales were essentially flat at $156 million due to unfavorable foreign exchange of 8%. Comparable sales rose 7% to $169 million due to price increases and higher volumes from computer accessories and business products. EMEA posted lower operating income and margin as our previous price increases were not large enough to offset inflation. We've announced additional price increases effective in April and July, which should improve margins throughout 2022. Moving to the International segment. Net sales increased 19% and comparable sales rose 23%, primarily due to improved volume, especially in note taking products for Brazil's back-to-school season as schools are now open for in-person education. The segment has also raised prices to offset inflation and unfavorable foreign exchange. The International segment posted higher adjusted operating income and adjusted operating margin as a result of higher sales, lower bad debt reserves due to improved collections and the benefit of long term cost reductions. The improvements were driven by a rebound in Mexico and Brazil. Let's now move to our balance sheet and cash flow. In the first quarter, we had $104 million of cash outflow from operations and a use of free cash flow of $108 million. This was due to increasing our inventory earlier than we did in the prior period to mitigate supply chain issues and the timing of underpayments. We also had higher incentive compensation payments this year. Due to seasonality, we generally use cash in the first half of the year. As expected, this resulted in our quarter end bank net leverage ratio increasing to 3.7 times. Nevertheless, because we generate a significant amount of cash flow in the second half, we expect that ratio to be less than 3 times by year-end. We also paid dividends of $7 million. At quarter end, we had used $208 million of our $600 million revolving credit facility. We have a high level of inventory due to a combination of our normal seasonal buildup for back-to-school and to mitigate supply chain disruptions and inflation. Turning to our outlook. As we noted on our last earnings call, we expect demand to continue to improve in 2022 as more offices and schools are in physical use, at least in a hybrid mode. We are continuing to increase prices to catch up and offset cumulative inflationary cost increases. We remain committed to returning our longer term gross margin to the 33% level. But this is an ongoing challenge due to higher cost and the magnitude of inflation. We now expect the gross margin improvement for 2022 of approximately 50 basis points versus 2021, which is at the lower end of our previous outlook. Given the strength of the first quarter and expectations for the remainder of the year, our guidance reflects an increase in our full year comparable sales outlook of 1.5% and comparable adjusted EPS of $0.02. We now expect foreign exchange to be more of a headwind than we anticipated earlier this year with 2.5% negative impact on sales and $0.04 negative impact on adjusted EPS. Given these two factors, for the full year, our outlook for reported sales growth remains in the range of 1% to 6%, full year adjusted EPS is expected to be in the range of $1.48 to $1.58. The adjusted effective tax rate is expected to be approximately 29%. Intangibles amortization for the full year is estimated to be $43 million, which equates to approximately $0.31 of adjusted EPS. We continue to expect our free cash flow to be approximately $165 million, cash from operations of approximately $190 million less the CapEx of $25 million. We expect to return to a historically more balanced capital allocation that includes dividends, debt reduction, opportunistic repurchases of our shares and potential acquisitions. We have $125 million remaining on our stock repurchase authorization. Now let's move on to Q&A, where Boris and I will be happy to take your questions. Operator?
Operator: [Operator Instructions] Our first question today comes from Joe Gomes at NOBLE Capital.
Joe Gomes: So I just wanted to -- impressed with the mentioned increase in the business product sales. Some of that obviously is coming from the office reopenings. How much more of that do you see is in play here in terms of the office reopenings? And where do you think the business product sales go from here for the rest of the year? Do you still think that will be a positive for the company?
Boris Elisman: The short answer is yes, we do. Offices are continuing to reopen. If you remember, actually earlier in the quarter, we had a high prevalence of omicron pretty much across the world. So many businesses were still delaying their return to office, but things started to open up later in Q1 and are continuing. And we think this will be a positive tailwind for us pretty much across the world. So we saw good growth in business products in Q1 and it was broad. It wasn't one particular category but pretty much across the board and we expect this to remain positive for the remainder of the year.
Joe Gomes: And maybe on PowerA, if you could dive a little bit more into that. I know in the fourth quarter call, you've mentioned that you expected sales in there to go back to the historic 10% to 13% range. And now here you're talking in the 5% to 10%, which is a pretty -- on the low end, a pretty big cut. Maybe just a little bit more detail and color of what you're seeing on the PowerA side and in terms of especially with the console availability.
Boris Elisman: The main difference in our view for PowerA has to do with chip availability. We now have more information that there will continue to be issues, especially with wireless chips, pretty much for the remainder of the year. So we expect that to impact the overall availability of accessories, broader PC and gaming accessories and that would include our PowerA accessories. So as a result of that we've taken down our forecast from, as you mentioned, 10%, 13% to 5% to 10%. We expect a lower first half of PowerA, which is due to difficult comps and continued console availability issues and an improvement in the second half of of this year over what was a pretty difficult second half of 2021. But overall, yes, we took the forecast down.
Joe Gomes: And if I could sneak in one more. You talked about Russia and you stopped shipping and that you thought that it's going to be difficult to make up. I think you said $6 million of revenues in that market. But the other markets surrounding where the Ukraine and the world were having the issues at this point. Are you seeing a reduction in those also or are you still seeing somewhat business as usual in those surrounding countries?
Boris Elisman: We're seeing business as usual. We have not seen the impact of the war in Ukraine still across the borders and its impact on our business. Obviously, there are other social and humanitarian issues but as far as the impact on our business we haven't seen it.
Operator: The next question comes from Chris McGinnis from Sidoti & Company.
Chris McGinnis: Maybe if we could just start off with just the price versus volume. I think, Deb, maybe you mentioned it was 5% volume growth on a consolidated basis. Can you confirm that? And then, I guess, the second part of that would be just given the expectation of additional price increases going forward, do you have any concerns around price sensitivity either on those products or from customers?
Deb O'Connor: So yes, you're right. Price was about 5% to 6%, but volume was strong too at about 5%, so you get to that 11% in total. So we had nice price and volume in our adjusted growth rate of 11%. And Boris, I'll let you answer the second part of that.
Boris Elisman: We have not seen significant degradation in price elasticity of demand as a result of price increases. I think our consumers and our customers still have been broadly accepting of the increases because they see everywhere around them and they know that this is something that is necessary for businesses to take. And the fact that volume has grown with 6% price raise increase a reflection of that. We are taking appropriate increases. The objective is to recover our margin. We're not trying to make extra money on our price increases. And again, businesses and consumers seem to understand it. So we're optimistic that, that will continue for the future as well.
Chris McGinnis: I appreciate that. And then, Boris, in your prepared comments, you talked about some market share gains, but you also talked about sourcing. Can you just talk about the competitive landscape? Does that put you in a better position for back-to-school, especially in North America with the supply chain challenges that are out there?
Boris Elisman: We think we're in a great position for back-to-school and more broadly, the supply throughout the year because of our mix of what we manufacture in our local facilities and what we get through outsourced providers, primarily in Asia. As a company, we're about 40% manufacture our own, 60% sourced from Asia. And that serves us well. We're well positioned for back to school. We don't anticipate despite the supply chain issues coming out of China that everybody reads in the papers. So we are well positioned for our back-to-school supply. And then we're also well positioned to support our retailers closer to the season because of our domestic manufacturing. So we do think that is a competitive advantage and we're hearing that from our customers as they've given us more business. So again, that's partly why we feel confident in our outlook for the remainder of the year.
Operator: The next question comes from Kevin Steinke at Barrington Research.
Kevin Steinke: So you increased your outlook for comparable sales growth of 3.5% to 8.5% from 2% to 7% despite lowering the growth outlook for PowerA a little bit. So what are the areas driving the improvement in overall comparable sales growth, and is that more price or volume related?
Boris Elisman: The improvement falls into three buckets, Kevin. One is just our performance in Q1. We did better than we anticipated, so that's baked into the number. The second, we believe we're going to have a stronger back-to-school seasons, both in North America and in Latin America. So that's part of our optimism. And then the third big part that we talked about with Joe is we think that return to hybrid mode or return to working in the office is a positive trend for us and we see that in Q1. We think that will continue as well. So those three factors together give us reason to raise our comparable sales growth that you see in the outlook from the 7% to 3.5% to 8.5%. And we think we're going to have both price and volume. I can't give you exactly what that mix is going to be. But clearly, price is going to be a part of it because we are raising prices, but we think volume is going to be up as well.
Kevin Steinke: And you mentioned that some back-to-school sales in North America were pulled forward into the first quarter. How should we think about that as we look to model out sales for the second quarter? Just wondering how significant of a pull forward that was.
Boris Elisman: It was a few million dollars. The way I suggest you think about the seasonality of our business on a quarterly basis is similar to what it was last year in terms of percent. I think we have a fairly seasonal but regularly pays business. Every year, there are different puts and takes. But overall, it falls to a very similar pattern. And I think this year's pattern will be very similar to last year's pattern in terms of certain percentage of the year falling into Q1 or a percentage of the year falling to Q2, et cetera, et cetera, et cetera. I think with all the puts and takes, it will still be similar both for sales and for EPS, adjusted EPS.
Operator: The next question comes from Harold Holden at Barclays.
Harold Holde: I had two questions. On the inventory increase that you had at the end of the quarter, I was wondering if that was just driven by forward buys so that you could make sure you have things in stock for back-to-school or what the conversation of it was and how confident you kind of felt on clearing that out as the year went through?
Deb O'Connor: So there's a couple of things in there that I'm sure you can appreciate. First of all, inflation is in there. So that's kind of a big ticket number that's driving inventory up. But I would say, yes, we brought in earlier but we also have things still on the water. So our in-transits are up as well as those lead times have really expanded and continue to stay expanded. So it's a couple of different parts but we don't feel any concern about selling through that or getting it down by year-end.
Boris Elisman: And some of the reasons -- one of the reasons, main reason why we bought the inventory forward early is our customers want the back-to-school inventory a little bit earlier, too. So we're trying to serve their needs.
Harold Holde: And then I was wondering if you sort of think forward in terms of your inflationary pressures that you're seeing, if you wanted to highlight one or two that you were particularly watching, whether it's transport or finished goods, or how we should be thinking about where your pressures on the COGS lines are?
Boris Elisman: Inflation has been pretty broad. It's affecting most commodities, and it's affecting transportation. So there isn't one or two. It's pretty much everything. I mean, everything that's oil related, obviously, is elevated, but also paper inflation is up. So it's not limited to a single commodity. It is higher than we anticipated and that's why we have to do additional price increases to offset inflation.
Operator: [Operator Instructions] The next question comes from Hamed Khorsand of BWS Financial.
Hamed Khorsand: My first question was just given this pull forward that you were talking about in the back-to-school season. Are you seeing retailers or your customers just really preparing for price increases from year-end, they're just buying ahead of time?
Boris Elisman: No, I don't think so. Because we agree on pricing for back to school well in advance, and we don't change that pricing. So they don't risk anything by waiting. The reason that they're bringing the inventory forward is because of the supply chain issues that they are experiencing. They want the surety of supply for the season. The season sets on a certain date. They can't miss it. And they want to make sure they have the product and inventory.
Hamed Khorsand: And then given the lockdowns in China and those supply chain issues. Is that putting you at an advantageous spot as far as being able to get the high volume, low margin business you've been on and off about over the years, any interest of it for this year?
Boris Elisman: As I mentioned before, Hamed, we're not seeing the China supply chain issues affect our back-to-school. I mean, obviously, we're watching it carefully. But most of our products for back-to-school are shipped from Vietnam or Southern China, or manufactured domestically in the US and Canada. So the area that's most affected right now, which is the Shanghai region, we're not really affected for back-to-school. Now your question was, does it allow us to be more competitive on opening price points. All of those are independent decisions. And as I mentioned, they made pretty much in advance for back-to-school given just the length of the supply chain. So at this point, the early back-to-school is not going to be affected by anything, but we are still hoping to win additional business for late back-to-school and also for Q4 because of our ability to produce domestically and to meet some of the demands of our customers.
Operator: We have no further questions, so I'll hand back to Boris Elisman for any final remarks.
Boris Elisman: Thank you, Bethany, and thank you, everyone, for your interest in ACCO Brands. We had an excellent first quarter and have strong momentum for the second quarter. Our business is pivoted to faster growth and we expect financial performance improvements to continue in 2022. We remain confident about our longer term future as we continue to position the company to do more consumer product oriented for higher growth and stronger returns for our shareholders. We look forward to talking with you in a couple of months as we report our second quarter. Thank you.
Operator: This concludes the first quarter 2022 ACCO Brands earnings call. Thank you for joining. You may now disconnect your lines.